Operator: [Interpreted] Ladies and gentlemen, thank you for attending this conference call. We will now begin Hyundai Motor Company's Business Results Conference Call for the fourth quarter of 2025. Once again, the presentation material can be downloaded from the Financial Supervisory Services electronic disclosure system at dart.fss.or.kr or the IR website at www.hyundai.com. Joining us are EVP Seung Jo Lee, Head of Planning and Finance Division; EVP Zayong Koo, Head of IR Division; [ Harry Hyun ], Head of Finance Accounting Subdivision; Michael Yun, Head of IR Group; VP Hyungseok Lee, Head of Planning and Finance Division of Hyundai Capital. We will first have HMC's presentation on the business results followed by a Q&A session with the attending investors. [Operator Instructions] Now we'll proceed with the presentation by Michael Yun, Head of IR Group at HMC.
Michael Yun: [Interpreted] Hello. This is Michael Yun, Head of IR Group. Welcome, everyone, to Hyundai Motor Company 2025 Q4 Business Results Conference Call. On behalf of Hyundai Motor Company, I appreciate your time for joining today's call. And please refer to the presentation, HMC 2025 Q4 business results on the IR website. The presentation includes quarterly key messages, sales performance and profit analysis. And for quarterly summarized cash flow statement and detailed regional sales breakdown, please refer to the appendix. First, Q4 key messages. Despite concerns over tariff impact and the resulting slowdown in demand, strong sales performance led to the highest fourth quarter revenue on record. Particularly in the U.S. market, we have achieved annual wholesale sales of 1 million units for the first time, driven by strong hybrid sales and a diversified SUV lineup. Finally, thanks to the robust hybrid sales in the U.S. market, the share of global hybrid sales recorded 16.3%. Next, the sales performance. In the fourth quarter of 2025, global wholesale sales recorded 1.03 million units, a decrease of 3.1% compared to the previous year. Retail sales recorded 1.07 million units, reflecting 0.2% decrease Y-o-Y. The annual wholesale decreased by 0.1% to 4.13 million units, while retail sales decreased by 1.6% to 4.1 million units. Next, I'll go over details about the increase or decrease in wholesale sales through key market summaries. In the U.S. market, sales increased 0.8% Y-o-Y, totaling 244,133 units. We continue to see strong sales performance of high-margin vehicles as hybrid sales accounted for a record high 22.6% of total sales, driven by new model effect of the Palisade hybrid and Genesis recorded the highest share of 8.9%. Sales of eco-friendly vehicles rose 29.2% Y-o-Y, reaching 70,503 units, driven by strong hybrid sales. In Europe, sales decreased 11.6%, totaling 138,152 units, revised EV incentive in key countries like Italy and France led to EV wholesale sales increase of 54.1% compared to the previous year. As we continue to expand our key EV lineup such as INSTER and IONIQ 9, our EV sales accounted for 18.4%. Sales of eco-friendly vehicles rose 12.1% Y-o-Y, reaching 62,078 units. In the domestic market, sales decreased by 6.3% Y-o-Y, totaling 177,496 units. Despite the reduced business days in the fourth quarter due to a holiday break, the new model effect of the Palisade, IONIQ 9 and NEXO led to a higher proportion of SUV sales. Sales of eco-friendly vehicles reached 62,189 units, a 1% Y-o-Y increase. Despite intensified competition from rival hybrid model launches, the new model effect of hybrid drove hybrid sales to grow 8.9%, reaching the share of 29%. Next, I will explain the sales analysis by vehicle type. Global SUV sales, including Genesis, totaled 638,149 units, accounting for 61.8% of total sales. Eco-friendly vehicle sales increased by 12.1% Y-o-Y, driven by hybrid sales growth in the U.S. market and expansion of EV sales in Europe. Despite the termination of EV subsidy programs in the U.S., EV sales rose 6.8% Y-o-Y, while hybrid sales continued to show strong momentum, growing 15.3% Y-o-Y. This concludes the discussion on sales, and now I will explain P&L. This page summarizes our income statement. Consolidated revenue increased by 0.5% Y-o-Y to KRW 46.8 trillion and operating income decreased by 39.9% Y-o-Y to KRW 1.7 trillion. The Automotive division's revenue increased by 2.4% Y-o-Y due to favorable FX environment and improved mix driven by hybrid and EV sales. The OP decreased by 49.7% Y-o-Y with tariff impact and increase in incentives. Revenue from finance division increased by 9.2% Y-o-Y due to interest rate cuts and FX fluctuations, while OP decreased by 2.7%. Net income decreased by 52.1% Y-o-Y to KRW 1.2 trillion. Next is quarterly revenue and operating income analysis. Revenue benefited from favorable FX rate contributing KRW 1.7 trillion, while decreased global wholesales resulted in negative volume effect of KRW 2 trillion. Additionally, regional mix improvement and sales expansion of hybrid and EV contributed to KRW 1.25 trillion. Despite the decline in the financial segment, total revenue rose 0.5% Y-o-Y. Despite the record high fourth quarter revenue, unfavorable business conditions negatively impacted our profitability, including the tariff impact and higher incentives driven by intensified competition in key markets. Although contingency plan partially offset tariff impact, OP decreased by 39.9% Y-o-Y. Our Q4 cost of goods sold ratio recorded 83.3%, a 2.8 percentage point increase Y-o-Y. SG&A recorded KRW 6.1 trillion, which is a 1.9% decrease compared to last year due to decrease of sales warranty provisions owing to quarter end exchange rate decrease. Finally, our net profit decreased by 52.1% to KRW 1.2 trillion. This concludes the presentation of the 2025 Q4 business results. Thank you. Next, EVP Seung Jo Lee, the Head of Planning and Finance Division, will assess the company's business results in Q4 and the annual guidance.
Seung Jo Lee: [Interpreted] Good afternoon. This is EVP Seung Jo Lee, Head of the Finance Division. I will now present Hyundai Motor Company Q4 2025 business performance and Q4 dividend and shareholder return policies. First, revenue reached -- sorry, I'm going to share with you the performance of the fourth quarter and guidance status. Revenue reached KRW 46.8 trillion, marking a slight Y-o-Y increase, which was driven by an improved regional mix from increased North American exposure and higher EV and HEV sales. Although a weaker one offered favorable FX effect, operating profit declined by KRW 1.1 trillion Y-o-Y to around KRW 1.7 trillion due to ongoing U.S. tariff impact, lower sales volume resulting from fewer working days and increased incentives driven by intensifying regional competition. With the 15 tariff rate applied retroactively from November 1, tariff costs declined by KRW 360 billion Q-o-Q to KRW 1.46 trillion. However, the benefit of the tariff rate costs were limited due to the sales of inventory subject to a 25% tariff in Q4. Nevertheless, the company actively executed contingency measures, mitigating the negative tariff impact by around 60%. Additionally, shutdowns at European and Jeonju plants to accommodate new model launches led to an increase in fixed cost per unit, resulting in about KRW 200 billion. However, the sales momentum from upcoming new model launches is expected to enhance future business results. Next is 2025 guidance. This guidance was first announced at the fourth quarter 2024 earnings call, and this outlined wholesale of 4.17 million units, revenue growth of 3% to 4% and OPM of 7% to 8%. However, following the unforeseen U.S. tariff issue, the guidance was revised at the 2025 CEO Investor Day with the OPM target lowered by 1 percentage point to 6% to 7%. Despite an unfavorable external conditions, we presented an upward revision of the revenue growth, which was raised by 2 percentage points to 5% to 6%, driven by aggressive and flexible production and sales strategies. Due to geopolitical challenges and intensified market competition, total sales reached 4.138 million units, falling short of the target by 36,000 units. However, we achieved a history milestone by surpassing 1 million wholesale units in the U.S. market for the first time, driven by growing global demand and our diversified lineup, hybrid sales continued their strong momentum, rising about 28% Y-o-Y to 635,000 units, accounting for 15.3% of total sales. Despite the difficult environment as a result of our commitment to meeting the market communicated guidance with a higher sales mix in North America and strong performance in hybrid and EV models, revenue grew 6.3% Y-o-Y, reaching KRW 186.3 trillion, exceeding our revenue growth target. OP declined Y-o-Y due to about KRW 4.1 trillion in annual tariff impact, but the OP margin reached 6.2%, falling within the guidance range that we have provided. Next, I'd like to discuss our year-end dividend and shareholder return policy. We enhanced dividend visibility and ensured the continuity of shareholder returns. Even in periods of earnings volatility, the company introduced a minimum annual DPS of KRW 10,000 based on common share from 2024. Despite a 25% Y-o-Y decline in consolidated net income attributable to controlling shareholders in 2025, we remain committed to this pledge to our shareholders. Accordingly, we declared a year-end DPS of KRW 2,500 based on common share, thereby fully delivering the minimum annual DPS of KRW 10,000. As a result, our dividend payout ratio exceeded 25%, reaching 27.7%. In addition, in line with the three-year mid- to long-term shareholder return policy announced in 2023, we completed the retirement of 1% treasury shares in April to achieve our target of TSR ratio of at least 35% in 2025 and to execute the plan to repurchase up to KRW 4 trillion of treasury shares over three years, we plan to conduct a treasury share buyback amounting to KRW 400.7 billion. Of this amount, around KRW 200.2 billion will be included in the calculation of the 2025 TSR ratio. The remaining around KRW 200.5 billion corresponds to our previously announced policy of retiring 1% of treasury shares per year over three years and is intended for the final 1% retirement schedule for 2026. As such, this portion will be reflected in the 2026 TSR calculation upon requirement. The treasury shares to be repurchased under this program are solely intended to enhance shareholder value and will be fully retired during '26. The share repurchase program will commence on January 30 and will be conducted over a three-month period. This year, the automotive industry is expected to face a challenging environment marked by stagnant growth in key markets and intensifying competition, while continuous investment remains necessary to secure leadership in the future technology amid rapid changes. Despite these challenges, we will actively implement continuous measures to reduce cost and optimize volume and profitability by region with the aim of delivering solid results and fulfilling our commitment to shareholder return policy. Finally, we'd like to express our sincere appreciation for your continued support and interest in our long-term investment and efforts in future business, including robotics, autonomous driving and the hydrogen ecosystem. Going forward, we'll continue to strive for sustainable growth as a smart mobility solution provider and provide regular updates on matters of importance to our shareholders. Thank you for listening.
Unknown Executive: [Interpreted] I'd like to present our 2026 annual guidance. Let me begin with our wholesale plan. Our sales target for 2026 has been set at 4.158 million units, representing an increase of around 20,000 units Y-o-Y. This target reflects our assessment of industry demand by regional segment. And please refer to Page 2 for a detailed breakdown of regional ad sales targets. Turning to our consolidated financial outlook. We expect 2026 consolidated revenue to grow by around 1% to 2% Y-o-Y. Supported by continued ASP improvement, and this outlook is driven by increased sales volume in North America and further expansion of hybrid vehicle sales. And we expect that there will be no temporary cost increase in 2026. So with respect to profitability, despite a challenging external environment, based on our fundamentals and competitiveness and cost innovation, we are targeting a consolidated OPM of 6.3% to 7.3% for 2026. Moving on to our investment plan. Total investment for 2026 is planned at KRW 17.8 trillion, representing a 23.2% increase compared to 2025 actual of KRW 14.5 trillion. By category, R&D investment is planned at KRW 7.4 trillion, up 21% year-over-year, driven by efforts to strengthen the Genesis and eco-friendly vehicle lineup, including Genesis SUV. CapEx is planned at KRW 9.0 trillion, 32% increase Y-o-Y for U.S. localization related to investment in response to U.S. tariffs and for electrification to gain future growth momentum. Strategic investment planned at KRW 1.4 trillion, representing a 7% decrease Y-o-Y. Regarding free cash flow, taking into account our profitability outlook and continued investment expansion in 2026, we expect free cash flow to be in the range of negative KRW 1 trillion to positive KRW 0.5 trillion. With respect to shareholder returns, in line with the value program announced on August 28, 2024, we intend to continue our shareholder return policy in 2026 targeting a shareholder return of at least 35% on a TSR basis. In closing, even amid heightened internal, external uncertainties in 2026, we remain committed to achieving our annual guidance through sustained profit generation and management activities that prioritize shareholder value grounded in strengthened product competitiveness and improved fundamentals. For further details, please refer to the 2026 guidance materials available on our website. This concludes our 2026 annual guidance presentation. Thank you. Next, Vice President, Hyungseok Lee, the Head of Planning and Finance Division of Hyundai Capital, will assess the Q4 results for the finance business.
Hyungseok Lee: [Interpreted] Good afternoon. I am Hyungseok Lee, Head of Finance at Hyundai Capital. Let me now present the finance sectors Q4 2025 performance and 2026 outlook. In Q4, Hyundai Capital and Hyundai Capital America delivered solid results by continuously expanding their roles as the group's captive finance companies. I will now touch upon the detailed performance by company. First is Hyundai Capital. In Q4, under strengthened sales finance collaboration with the group by introducing specialized programs such as Genesis Finance, Hyundai Capital actively supported vehicle sales. As a result, installments and lease volume increased by 14.7% and 10.1%, respectively, Y-o-Y. Total product assets grew 3.6%. Lease income rose on the back of expanding high-value model-based lease assets. However, due to declining market interest rates and regulatory impact, Installment and loan interest income decreased, leading to a slight Y-o-Y decline in operating revenue, excluding FX and derivative effects. On the funding side, 14% of domestic bond issuance in 2025 was ESG bonds by standing a foundation for lower cost funding with diverse borrowing offerings such as offshore bonds and ABS, interest expense in Q4 decreased 2.7% Y-o-Y. In January this year, we were the first to issue public bonds in the amount of EUR 500 million as a credit finance company, further demonstrating strong global funding competitiveness despite continued downward pressure on soundness in the industry, driven by real estate stress in the regional areas and rising household debt and others, Hyundai Capital maintained solid performance through a high-quality captive portfolio and active NPL disposal recording a delinquency rate of 0.82%. In spite of decline in lease costs, we rather increased provisioning for preemptive risk management. As a result, total operating expenses rose slightly Y-o-Y, driving a decline in operating profit in Q4. However, with equity method gains from overseas subsidiaries increasing profit before tax rose 13.6%. In 2026, Hyundai Capital intends to strengthen liquidity to navigate heightened market volatility and defend profitability through funding cost management and OpEx optimization. The company will further enhance digital capabilities through data collaboration at the group level and adoption of AI in core operations. Globally, Hyundai Capital is preparing to launch its finance subsidiary in India and further advance capabilities across overseas subsidiaries to reinforce position as a leading global mobility finance provider. Next is Hyundai Capital America. Despite macro uncertainty in Q4, thanks to strong vehicle sales trends at the group level since the beginning of the year, a high 72% P rate, we recorded growing trend across the overall portfolio. In particular, prior to the IRA subsidy expiration, the lease volume of eco-friendly vehicles increased rapidly, driving a 32.2% Y-o-Y rise in leased assets and a 16% growth in total product assets. On the back of robust asset growth, installment and lease income grew in Q4 Y-o-Y, keeping operating revenue at a similar level to last year. For funding, HCA issued a total of USD 11.9 billion in public bond in 2025 and successfully debuted in the euro bond market in June, impacted by an increase in total borrowings, interest expense in Q4 rose 14.3% Y-o-Y. In terms of asset, above 85% of the customers were rated prime with those subprime rated recording less than 1%. Although the bad debt expense went down with the increased provisioning for residual value risk management. However, as total operating expenses declined slightly, OP in Q4 grew 48.4% Y-o-Y. In 2026, tariff impact, interest rate volatility and inflation are expected to create a challenging environment. Nevertheless, HCA like to maintain sufficient liquidity based on strong credit ratings to navigate this uncertainty. The company will continue to support the auto sale financing to sustain asset growth and secure outstanding financial soundness through disciplined risk management. Added to that by diversifying business such as financing for the group's new businesses, the company will broaden its role as the HMG as global mobility finance company. This concludes my presentation. Thank you for listening. With that, we will conclude the presentation and take your questions. Please limit your questions to two.
Operator: [Foreign Language] [Interpreted] Now Q&A session will begin. [Operator Instructions] The first question will be provided by Ji-Woong Yoo from DAOL Investment & Securities.
Jiwoong Yoo: [Foreign Language] [Interpreted] I'm Ji-Woong Yoo from DAOL Investment & Securities. So I have two questions regarding cost. First, you mentioned about the fixed cost for 4Q being close to KRW 200 billion. And the tariff in Q4 was KRW 1.5 trillion, which is lower than the amount for Q3. However, the operating profit for Q4 has gone down by KRW 1 trillion versus Q3. So, all in all, although the tariff cost has gone down, the expectations high that the cost would also get better. So I was wondering if there were any other costs that ought to be occurred in Q4 for this result? Or are there any other costs that are expected for Q1? My second question is based on the CID announcement, you said that you are planning for the five years, KRW 77 trillion investment. So if you divide that on an annual average, that comes to close to about KRW 14 trillion. And this year, you announced that the investment will be around KRW 17.8 trillion. So, for the past four months, have there been any drastic measures to make new investment decisions or maybe end of last year or earlier this year or for the year of 2026, do you have any new investment decisions that to be executed?
Unknown Executive: [Foreign Language] [Interpreted] Before answering your question, I think during my presentation, I made some numerical error. So, the buyback of treasury shares, I said it was KRW 470 billion, but in fact, it is going to be KRW 400.7 billion. Right. So, to answer your first question, I mentioned that there's going to be an increase in fixed cost of about KRW 200 billion due to new cars being input in Jeonju and Turkey plant. And you asked if there are any other costs due to -- that results in this increase in fixed cost. So there were temporary increase in fixed costs. At the end of last year, we had to reflect the increase in labor cost, which came to about KRW 140 billion. And also, there was a quality cost that occurred for [ CapCo ], which came to about KRW 100 billion. So that was just our temporary cost that was a onetime happening for the end of the year. And also with HCA, during the auditing process of its fiscal orders, it was found that usually for lease cars, we set the time to 36 months for the incentives, but it was found that on average, the use of the lease was 31 months. So we were adjusting the cost and profit, and that was altogether reflected in the financial sheet. So that resulted in KRW 130 billion at the end of the year. So, I think, I pretty much explained if any further costs were going to be created in Q1 of 2026 compared to Q4. But if I'm to give you a bit more of elaboration on the performance regarding Q1, with IRA being abolished in Q4 last year, the EV inventory of our dealers is now piling up. So we are really trying to decrease this inventory amount. And that's why we have made a strategic approach so that we can lower the inventory in Q4, and we believe that this will help with our Q1 performance. Now moving on to your second question. You said that CID announced a total KRW 77 trillion investment for five years. And on an annual average, it comes to KRW 14 trillion. And this year, we announced an investment of KRW 17.8 trillion and whether there is a new investment plan that is coming ahead. However, that is not the case. It's just that our investments are mostly focused on 2026 and 2027. So I think this year will probably the peak our investment size. So, overall, the total investment size or pie has not grown. It's still the same. And just to elaborate further regarding our investment, we will continue our investment for our future businesses. We have been doing this from four years ago. And I think most recently, this value is now represented through our share prices. However, we are still trying to make sure that our investment is effective and efficient. And within that decision, we'll be making our priorities so that with the same high investment that we have, the same budget that we have, we make the most effective and efficient investment. Overall, we will not be reducing our investment for our future.
Operator: [Foreign Language] [Interpreted] The following question will be presented by Eun Young Yim from Samsung Securities.
Eun Young Yim: [Foreign Language] [Interpreted] This is Eun Young Yim from Samsung Securities. I have two questions. My first question is related to tariff. You've mentioned during your presentation that the annual tariff impact is estimated to be KRW 4.1 trillion in 2025. And you've said that the mitigation impact was around 60%. So if I interpret your presentation, the net burden coming from the tariff impact will be around KRW 1.2 trillion or KRW 1.5 trillion. So if the tariff rate is going down to 15%, how can we estimate or forecast the impact for the year 2026 coming from the tariff? And I'm wondering if you are going to continue to make contingency efforts to reduce the impact from tariffs. My second question is related to your shareholder return policy. As if I look at the plan that you announced during the disclosure for the purchase of treasury shares, we believe that the portion of preferred share will be around 8% to 9%. But if I remember your presentation, you said that during your presentation, you are going to close the gap between the preferred stock and the common stock. So if you look at the current price trend of the common stock, actually, the price of the common stock went up dramatically. So that widen the gap between preferred stock and common stock. So I think the level of the preferred stock repurchase is not really enough. So I'm wondering you're going to increase the portion of repurchase of the preferred stock in late mid next year or two years later.
Unknown Executive: [Foreign Language] [Interpreted] If I answer your first question, we've explained that the impact from tariff was around KRW 4.1 trillion. And what we are forecasting for the impact for this year, 2026, the level of the impact will be flattish, similar. As you all know, the tariff took effect as of 3rd of April, but well, the tariff actually applied to the inventory from mid-May. So when we are -- when we were calculating the tariff impact when we set up the business plan, we realized that the impact from tariff will be similar between 2025 and 2026. And we had the mitigation impact of 60%. So you asked about if the contingent plan will be continued in the next year. So I can say for sure that the mitigation plan for the tariff impact will be maintained in this year. And with the limited budget and the cost that was reduced this year was applied to the establishment of the business plan for 2026. Your second question was related to our repurchase plan for the treasury stock. So you mentioned that the gap between preferred stock and common stock is getting wider and wider. And you asked about if there will be any plan or direction that we can share with you in regard to how to close the gap between two different types of stock -- treasury stocks. So in order to meet the TSR ratio of 35%, we said that we are going to repurchase KRW 200.4 billion of treasury stock, and we said we were going to retire around 1%. So, for that to happen, we are going to spend around KRW 200.7 billion for -- and 0.2% for the common stock. So, as we disclosed before, so when we're dealing with KRW 200.4 billion, 0.16% will be composed of the common stock, whereas the preferred stock will account for 0.2%. That means if you look at translated into the proportion that preferred stock will account for 25%. Of course, the number of the purchase won't be really big, but you can understand from our plan that how we are going to proceed with our shareholder return policy. So in order to close the gap between preferred stock and common stock, we are going to give a lot of thoughts to it. And once ready, we're going to communicate more with the market.
Operator: [Foreign Language] [Interpreted] The last question will be presented by Jinsuk Kim from Mirae Securities.
Jinsuk Kim: [Foreign Language] [Interpreted] I actually had a question about tariff. I think that was answered in the previous question. So, I only have one question. I think the most significant event that HMC has done in terms of bringing change to our society and our value was the Kkanbu Chicken meeting last year and signing the contract in sourcing 50,000 units of GPU. And if you look at your presentations made during the Investor Day or the Mobis CID as well as this CES Media Day, you announced plans to distribute and also present smart cars as well as the demo cars as well. And based on my own prediction, we believe that this will be possible maybe by fall at the latest. So -- and I think we also have a look at Atlas and maybe the input of humanoid in the meth plant could be done by September and October. So, to do that, you will have to start securing data for movement and control as well. So is it safe to think that the GPU installment and the actual operation will also be done at that time as well?
Unknown Executive: [Foreign Language] [Interpreted] Yes. So, as we had mentioned during the CES, we are planning to conduct a POC for the humanoid metaplant at the end of this year. And also the demo cars for smart cars, R&D is currently working on this, and it is expected to be launched in the latter half of this year. And we already have made a project code for this. And of course, the demo car launch, there will be a small number of models, but it will come to -- it will be launched by the end of the year. Regarding the contract for 50,000 units of GPU, we are currently working on the plan of when and how to use these chips. However -- and it's probably likely that they may be used with the utilization of humanoids and smart cars as well, but we haven't come out with a concrete plan as of yet. So, when that is done, we will communicate with the markets regarding this.
Operator: [Foreign Language] [Interpreted] If you have any questions, please contact Hyundai Motor Company's IR group. Thank you very much for your attention. [Statements in English on this transcript were spoken by an interpreter present on the live call.]